Operator: Welcome to the Evolution AB for teleconference Q4, 2021. Today, I am pleased to present CEO Martin Carlesund and CFO Jacob Kaplan. For the first part of this call, all participants will be in listen-only mode. And also there'll be a question and answer session. Speakers, over to you.
Martin Carlesund: Good morning. Welcome everyone to the presentation of Evolution's year-end report 2021. My name is Martin Carlesund and I'm the CEO of Evolution. With me, as always, I have our CFO, Jacob Kaplan. I will start with some comments on our performance in the quarter, where after I will hand over to Jacob for a closer look at our financials. After that, I'll round off the presentation with an outlook for the rest of the year and then we're happy to take your questions.  However, before going to the next slide, I want to comment the picture you now see. It's a real photo one of latest astonishing studios. It's the studio for the coming for the [Indiscernible] and this is just awesome. The game and the play experience and the new logic in this game is something really extra. Just want to point that out. Thank you. Now, next slide, please. I'm very satisfied to be able to present yet another strong quarter for Evolution driven by the entertainment of end-users and the increasing preference of those.  The products we launched during the year in combination with the continued strong market development and global demands have contributed to a very high growth rate. Furthermore, we also experienced strong results from the investments and increase due to capacity. In the end of the quarter, we are over 1,000 tables live, resulting from an increase of 300 tables during the year. These factors in combination with a constant pursuit of cost efficiency has positive effect on our margin. While we had operational challenges due to the pandemic, the two phases, we also learned a lot. It proved that our business model is resilient and that our customer base gets stronger every day. We also had to learn how to adapt to new situations as a result of the pandemic, and we prove that we are in the forefront on innovation and creativity.  Our aspects of the -- other aspects of the pandemic are also that it made people more comfortable with video streaming, and that most people improve the connectivity from remote location such as your home or even when you're on vacation. The pandemic has simply increased the worldwide connectivity and pushed down with a latency to new levels, which is in turn creates a very good fundamental for the future of our games. During this last period, we have also with our cutting edge technology and innovation been able to compete to entirely new play or demographics and engaged new stereotypes. Regulation of online gaming continues to gain ground all over the world. On the first day of the quarter, the newly regulated Dutch market opened up, and we're already powering an absolute majority of the licensed operators.  We expect that the Dutch market to expand further as the number of licenses increase during 2022. It's important to note that already in December, the regulated Dutch market passed the pre -regulated levels. Our growth in North America is a great opportunity. In October, we launched the RNG games in Connecticut, while live games will be launched in the near future. Also in the quarter we went live with the -- in the regulated province of Ontario with OLG, the proven sell Lottery and Gaming agency. The market for commercial operators in Ontario is planned to open up in April. In the quarter we also announced that we were first to market with live casino in Argentina's newly regulated business at Buenos Aires province. In Colombia, already regulated and live with Evolution and more provinces and countries working on regulation, Latin America is a promising market. Also down to the [Indiscernible] we renewed our existing agreements with Fungible Group to become fungible selected provider of Live Casino across the entire U.S. We've invested significantly in the U.S. market and we'll continue to do so in the years to come. As I stated before, the demand of our products is truly global and we're expanding our studio capacity in all locations. Coming out of Q4, I still see that we are under supplying to the demand even if we doubled the number of employees in the last 18 months.  Again, I reiterate, we will continue to expand with a high speed throughout 2022. Now, let's move to the coming slide and see the effect on numbers and products of all our efforts. Operator, next slide please. I'm pleased to present our strong results of both the quarter as well as the full-year 2021. Operationally, it's been a very hectic year for us, and in the fourth quarter, we continued the momentum from the previous quarters. Revenues increased by 69% to over €300 million. EBITDA increased by 115%, €207 million corresponding to margin of 68.9%. The margin for the full year ended on 68.7%, slightly above our guidance for the year. In a year with such strong expansion, I consider increase in more than 2021 as an achievement. In 2022, we'll continue to invest in our expansion both in studios, in games but even so, I expect that we will be able to strengthen the EBITDA margin for 2022 standing somewhere in the range between 69% and 71%.  In this context, it's important to say that investments will continue to be high, margin might vary quarter-on-quarter and if there is a trade-off between growth and margin, we will always prioritize growth. Live Casino delivered a very satisfactory growth of 49% compared to the Q4 last year. RNG revenue amounted to €62.9 million with a growth of 9.4% compared to the combined revenue of NetEnt and BTG during Q4 2020. Moving forward into 2022, the path to growth within RNG will not be linear and I expect the growth rate to vary through the next couple of quarters. The fantastic pipeline of slots in 2022 together with the new technical platform have higher expectation for growth in the little bit longer time perspective. All in all, fantastic numbers and I'm very pleased with our financial performance in the fourth quarter, and we are definitely well placed to deliver a strong 2022.  And as always, we will relentlessly further strengthen our market share and continue to widen the gap to competitors. Next slide, please. [Indiscernible] is to be seen as an indicator of activity in our Evolution Live network. The number of bet spots from an end-user amounted to €20.9 billion, which is a phenomenal increase of 15% from Q3 and compared to Q4 last year growth of 37%. The general play activity has continued to increase, and the player activity in the beginning of Q1 has accelerated further. [Indiscernible] time continue to conquer the world, and it's one of the biggest success stories in online gaming of all time. In Q4, the game saw exceptional player activity growth, combined with a very high use of preference with millions of unique players enjoying the game. We can also reveal that the game generated some huge wins for players during Q4 with multiple mega payout. The top five wins alone paid out €50 million in the quarter, the biggest [Indiscernible] being over €20 million, making it the largest non-progressive payout ever in the online gaming world, benefiting thousands of players.  Next slide, please. Expanding our studio capacity means that we need a high recruiting pace, and in the quarter we hired about long 1,200 new employees. Increase in stock 2021 amounted to 3,900 corresponding to an increase of 41%. But if we expound the perspective to end of Q2 2020 in 18 months period, Evolution doubled in size. Expansion of this rate is very costly but even more important to double the company with such Evolution in 18 months takes energy, ambition, and pure will. Most who didn't say it's impossible, but when you see this, don't forget that it's the way everyone in the Evolution team pushed forward, doing and create what others dream of. At the end of the period, we were more than 13,000 Evolutioners and we will continue to increase headcount. Recruitment is therefore one of our key processes and the wellbeing and development of our employee is the key for Evolution.  Your company will [Indiscernible] outcome. We constantly and every day work to be best at the education and development of everyone as a core process. We are demanding and fair, and want to create a unique work environment guided by true and really sound core values. I humbly -- I'm humbled and very proud of all employees that make up this fantastic company. Operator, next slide please. 2022, the year of product and innovation. We kick started it yesterday with an online event, where we introduced 25 new fantastic games. Before the end of this year, we will launch 88 new games in total. It's a record number releases from Evolution in one year, and it showcase the breadth of our exceptional portfolio. We need to innovate, we need to entertain, we need to deserve the end-user's time, we need to develop gains for future.  No one can believe that continuing doing the same thing for the coming five years would make the future and end-users happy. Don't copy, develop. Don't take for granted, move with desire. The end-users of tomorrow will be picky and have lots of options. Evolution DNA is to continue to create the games of the future entertaining these end-users. One thing we should think of as we all know it, the future will be different from the present and standing still will not make your success. Evolution has completed a series of acquisitions that have further strengthened and diversified our comprehensive content and technology portfolio.  All fitting our strategy for all parts have a role to play. Together with One Stop Shop, to seamless and flawless single-point integration, the new lobby we'll have our customers to thrill their users. With one integration to our fantastic new lobby, all Evolution content will be delivered seamlessly to operators all over the world. When you see our products for 2022, don't forget that we have put desire, sweat, and tears into it. Thought of each part, making it worth something, pushing the boundaries. That's who we are, relentlessly pushing forward.  Next slide, please. Operator. First games launched this year are Peek Baccarat and Bac Bo. Peek Baccarat is a unique and revolutionary version of classic face-down Baccarat. Revolutionary because it's the only Baccarat in the world that let the player to take a peek and increase their bets after the normal betting time is over and some of the cards have been dealt. Bac Bo is a simpler version of Baccarat, but with a unique twist; it's played with dice, not cards. Same quick fire dice, more excitement, and payouts up to 88 to 1. In Bac Bo, the team and everyone involved has brought out the best in Baccarat and Sic Bo, and we're seeing one of the most successful launches in recent times. In our RNG vertical, with our world-class slots offering an IP, I'm confident that we will reach high growth for RNG.  However, the road to increased growth will not be a straight one, and I expect growth rate to fluctuate in the year to come. Some of the slots we launched in 2021 were successful and well received by players. However, in 2022, we'll need to continue to deliver equally successfully games as in 2021 but at a higher pace. With 88 new games this year, I've high expectation for the full year. Yesterday, [Indiscernible] CEO of BTG said that 2022 is possibly the most exciting year. In term year history and with action packed on [Indiscernible] games based on TV show Knight Rider from Nintendo and Narcos Mexico from Red target, we will deliver the best and most innovative slots in the world this year. I'm very glad that DigiWheel has recently become part of Evolution family.  DigiWheel is the world's first rotating HD digital gaming wheel and one of the most innovative products advocated in casino world. The device is unique and all casino operators offline and online can enjoy the more successful real game ever created. The Evolution roadmap of 2022 is simply the best one ever. Next slide, please. This slide shows a breakdown or revenue by geographic region. We continue to see an increased demand for online casino across the globe We expanded the number of tables with over 300 during the year. However, the demand is so strong we are still underserving in several markets. In Asia, we saw continued growth, which amounted to 128% for the full year. We have been successfully tailored content for this region and its players.  The new product launches of games variation of Baccarat, as well as of [Indiscernible] with an ancient layer to them have worked very well. North America is also growing fast with a year-on-year growth of market to 205%. We see good potential in the North American markets and expect continued high growth rate going forward. We don't focus on guessing on which state will regulate next. For us, it is still some drastic opportunities in the states that all are regulated, and we see growth rates on high levels going forward. The European market in general have a slower growth than the North American and Asian markets due to both regulatory changes as well as that they are more mature.  However, we still see good opportunities in Europe; Rest of Europe had a year-on-year growth of 55%. The Nordics and UK are about the same size for the year-on-year growth in the UK, amounting to 85%, and in the Nordics amounted to 146%. The growth year-on-year can on these two markets to a large extent be attributed to acquisition method, which has a strong position in the Nordics and the UK. Other, including South America, Africa, and remaining part of the world shows good growth of almost [Indiscernible] year-on-year. Revenues from regulated markets increased to 41% in Q4. Now, I will pass on to Jacob for a closer look at our financials. Next slide, please.
Jacob Kaplan: Thank you, Martin. And good morning to all of you on the call. We'll now move on to couple of slides for the closer look at financial development during the period. I'm on Slide number 9. Revenue amounts to €300 million in the fourth quarter, that's made up of €237.4 million related to our Live Casino product and €62.9 million from our RNG games. We're happy with the developmental both product lines in this fourth quarter. Compared to the same quarter 2020, Live Casino increases over 48%. This compared well to the pre -pandemic growth rates from 2019 and RNG revenues increased just over 9% compared to the pro forma figures for their fourth quarter 2020, meaning including Big Time Gaming in exempt for the full quarter pro forma. Total revenue compared to the reported revenue Q4 docked at €177 million. That's shown in the chart here. That growth is 69%. I would say RNG development is in line with our expectations from earlier in the year. Our ambition, as Morgan pointed out earlier, is to increase growth and reach double-digit growth during next year. But I'd say that realistically I see us reaching that more towards the end of the year. You look at the number 10% growth compared to Q1 202 would mean a bit over €67 million RNG revenue in the first quarter of this year.  And as you see, also in the table here, RNG revenue has been relatively flat over the quarters this year, 61.2 in Q1, up to €62.9 in this quarter. So it will take a few quarters to get growth up and achieve sustainable double-digit growth, and I don't see us getting €67 million in Q1. However, as Martin mentioned, we feel good about the roadmap and any increase growth we [Indiscernible] there, with great games that players enjoy and come back to. So we'll take it step-by-step, but don't expect a linear increase of the growth percentage from Q4 into 2022. EBITDA for the quarter amounts to €206.9 million, and an EBITDA margin of 68.9% in the quarter. This is in line with our latest margin guidance from Q3 of margin exceeding 68% for the year.  Also mentioned last time we spoke, and Martin pointed it out earlier on the call, we are in a period of very heavy expansion. We end the year with over 1,000 tables in operations. We're investing in all studios, adding more staff and more capacity than we've ever done before. North America is one area we will continue to expand all functions from the company. We are moving towards 2,000 staff, we see fantastic long-term potential in the market and we're really building for the future there. The expansion, however, does drive costs and will affect margin some during 2022. For the full-year 2021, we reached an EBITDA margin of 68.7%.  Margins have been relatively stable this year, around 68% to 69% each quarter. Q3 was -- was a notch higher at 69.9. Modern full year 2021 it's up significantly from 2020. For full-year 2020, we have 62.7% EBITDA margin. So 1.6 percentage points up. For full-year 2022, we don't expect the same step up in margin. And I as pointed out earlier, we see that we can reach a margin full-year 2022 in the range of 69% to 71%, so that's our guidance for 2022.  And I'll repeat as we've done so many times that we'll prioritize growth over margins if we're faced with that trade-off. Operator, let's move to the next slide, please. This slide shows our P&L in a bit more detail from the top, Live revenue over €237 million in the period October to December 2021, and RNG just under $63 million. We covered the developments in this period compared to same period prior-year on the previous slide, so I want to [Indiscernible] it here. This slide, I should point out, also shows the reported figures for 2020, so no pro forma adjustments in the 2020 columns on this slide. Full year 2021 Live revenue is €839 million, and that is an organic growth compared to 2020 of over 54% for the full year. Total revenue is €300 million, that's an increase of 69% compared to the reported revenue Q4, 2020.  And looking at the full-year revenue amounts to €1.68 billion, an increase of 98 -- 90% year-on-year. And then that, of course, includes both organic and acquired growth. Moving down to expenses. There's no -- since there's no pro forma here, the addition of our acquired businesses during 2021 is of course a part of the explanation of each of the lines. But also our live percent operations have increased in expenses, so both affect here. Moving through the lines, you can see personnel expenses amounted to €55.2 million, that's an increase of €16.6 million compared to the same period last year. Depreciations amounted to €22.4 million, that includes about €10.5 million in amortization of intangibles related to the acquisitions of NetEnt and Big Time Gaming.  Other operating expenses that includes a number of items, consumable equipment, communication costs, consultants, royalty is a big part of that. The line amounts to €38 million in the quarter. The corresponding period 2020 here includes €19.4 million in one of the restructuring costs. So adjusted for that one of item last year, the increase is €14.6 million in this quarter compared to the same quarter of 2020. And the -- instead of the reported number there as you see here in the table, it's actually higher in the same period 2020. Summing up total operating expenses totaled just over €115 million for the period October to December 2021 and for the full year almost €415 million, an increase of 71% compared to the reported figures of the same period last year. Operating profit sums up to €184.5 million in the quarter. Our taxes are up €12.7 million in the quarter. That's a tax rate of 6.9%. For the full year, tax rate is 6.5% and that's up from just under 5% in 2020 a slight increase there. And all this sums up to a profit for the three-month period of €171.6 million, which equals an earnings per share of €0.77 per share for the quarter, an increase of 89% compared to the fourth quarter of 2020. Full-year earnings per share is €2.73 per share, an increase of 81% from the previous year. All right, let's move on to the next slide, please. Before I hand back to Martin, we look at cash flow and financial position. Starting to -- with the chart to the left in the slide this shows development of capital expenditure. The gray part of the bars represent investment in tangible assets that is mainly our studio constructions. It's a step up this quarter from previous quarters to almost €14 million.  Main driver of the increase is our investment in our North America studios. We're expanding all studios and as pandemic restrictions have slightly scaled back we've been able to increase the pace there during the period. As we mentioned earlier, we continue to invest heavily, not just in the U.S. but in all studios and other ongoing projects include the new studios in Madrid and also in Armenia, as well as our fourth U.S. studio in Connecticut. So a lot is going on in pretty much all locations. The blue part of the bar is investments in intangible assets, and is related to development of new games and features to the platform. It's €8.4 million in the quarter, that's up a bit compared to the same quarter 2020, but now also includes development of NetEnt, RedTiger, and Big Time Gaming games. Yesterday, we presented our 2022, I should say, roadmap, and I'm sure many of you saw it or will see it, and you'll see that we'll launch close to 90 games this year.  So investments in intangible assets are also set to continue at a high pace. CapEx for the full-year 2021 amounted to €60 million, which means that they pickup in pace in Q4, not that we actually reached our full-year guidance of €60 million this year. And looking ahead to 2022 estimate that we will have a CapEx of about €90 million. So more or less maintaining the current level that we're seeing in the fourth quarter. All right. Moving on in the middle of the slide, we show operating cash flow. Cash flow was good in the quarter, over a €166 million, slightly lower from Q3 due to among other things to higher investments, cash conversion percentage on a rolling 12-month basis, it’s exactly 75%. So still at a good level.  And then finally to the far right in the slide, a quick look at the balance sheets, €421 million in cash at the end of December. Out though that, €303 million is the proposed dividend for 2021. We also have roughly €66 million that will be used for the compulsory buyout of the remaining NetEnt shares that did not come with the share offer last year. That will take place now also during the first quarter. And we also have about €80 million remaining in the share buyback program that was initiated in December, so that could also continue now. All this payout considered, we will reduce our cash position during the first half of this year, but we maintain a good cash flow and an overall strong financial position. That was the end of my prepared comments. I'll stop here, hand back to you to Martin, and we'll take questions after that. Martin.
Martin Carlesund: Thank you. Well, I'm on Slide 12, last slide before questions. Thank you, Jacob. A few words to conclude this report presentation. 2022 would be the year of product and innovation. A great year has started. We will release a record number of new innovative, exciting, and fantastic products; exciting games, entertaining the end-user. This is all possible because of the great persons in Evolution and the teamwork between all of you. In the last quarter, several new markets regulated and we were first to market in all of them. We will in the year ahead continue with our expansion in the world and we will continue to develop the best and most innovative games. We have always been the one to push boundaries, to push the realm of what's possible when it comes to online casino.  We're going to 2022 with a good momentum and our tight team work and speed will keep us moving forward to yet another great year. We always stay on our toes, as paranoid as ever. And we're never laid back or content. Always looking forward to the next opportunity and the next challenge. Thank you all for listening, and we'll speak in a couple of months again. Now, let's move to the next slide. Questions, please.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Martin Arnell of DNB Markets. Please go ahead, your line is open.
Martin Arnell: Hi. Good morning, good afternoon. I hope you can hear me.
Martin Carlesund: Good morning. We hear you almost loud.
Martin Arnell: Yes, good. My first question is, if you could comment a little bit about the trends so far in 2022. I think you mentioned that player activity has been good in the start of the year, but can you say anything more.
Martin Carlesund: As I stated, we come out of the Q4 with good momentum. We're starting the year with good momentum, Q1 has started well, good.
Martin Arnell: So there's no change in trends so far.
Martin Carlesund: No change in trends, I would say. We're starting well.
Martin Arnell: Okay. Thank you, guys.
Martin Carlesund: Thank you.
Jacob Kaplan: Thank you.
Martin Arnell: On the U.S. expansion, when do you expect to be ready with the Connecticut studio for the live business? Do you expect in the midterm or is it later in the year?
Martin Carlesund: We're in the building phase right now and we hope to go live soon before summer -- first off before summer.
Martin Arnell: Okay. Excellent. Thank you. And well, you're about roll the new product portfolio in the U.S. and that was pretty clear yesterday from the presentation as well. How easy can you do that? How easy is it to get the game shows certified etc. for the U.S. states?
Martin Carlesund: Good question, I must say. It's all -- it's always China. First of all, on the regulatory minus the U.S. is live and live is new to them, it is something that is new. So it's a process you need to work with the regulator, see to that they are comfortable and knowledgeable when it comes to the new products, and it will take a little while. But of course naturally, we've been working on that for quite some time.
Martin Arnell: Okay. Thank you. And could you just clarify, I think I overheard on the presentation yesterday that you could use your European studios for Canada, Ontario; is that correct?
Martin Carlesund: That is correct. The commercial part can be -- the commercial market in Ontario can use our studios from Europe, yes.
Martin Arnell: Okay. Thank you. And just finally, also on these acquisitions that was out late last year. Are there any sort of comments you want to make on the dialogue that you have with the New Jersey Gaming division? Is there anything that has changed from your perspective from this acquisition?
Martin Carlesund: There is nothing new and nothing has changed. We had -- we've had quarter with -- it sounds to have been in contact with many of the regulators as part of usual and we're working on the process. And since you also see in the amounts and always find things to enhance and do better in all areas and also this one.
Martin Arnell: Okay. And then almost just ask you on what are you going to do with all that cash on the balance sheet? How are the discussions going there in -- in the board do you think is it purely dividends or are you having a deal flow in the cost, M&A maybe you could add technology for the future products etc. How should we think about that?
Jacob Kaplan: Yeah, I think there's no -- the main way to shift capital back to shareholders will be dividend, and we have a dividend policy of 50% of earnings. So I think that will be the main tool. And then as we see right now, with the plan dividend and the compulsory buyout and the buyout program that's in progress, you can say the cash [Indiscernible] will reduce in -- during the first half of the year. Then of course, we do have good cash flows, and hope to be in a position with -- to have this question again in the future. So that's -- it's the same as always. Then of course on the M&A side, we are -- we've said before we will be opportunistic in that we will listen and we look, but our main growth strategy is organic growth. It's about everything we showed yesterday. The more products, better products that's the main growth avenue.
Martin Arnell: All the new live games, Martin and Jacob, what are you most excited about? If you have to take one or two?
Martin Carlesund: That's a little bit like asking which style of viewers are the best ones. I mean, we love them for what they are. They are [Indiscernible] 2022.
Martin Arnell: Okay. Thank you, guys. That's all for me. Bye.
Martin Carlesund: Thank you.
Jacob Kaplan: Thanks, Martin.
Operator: Thank you. Our next question comes from the line of Ed Young at Morgan Stanley. Please go ahead. Your line is open.
Edward Young: Good morning. I've got just three questions. The first one's on your North America ramp. It was up 6% quarter-on-quarter. You've said, obviously growth there is lumpy as you work up capacity. I wonder if you could perhaps give a bit of color on how you expect that to develop over the course of the year, and whether you'd be able to quantify the impact of the Canada switch off within that North American number. Thanks.
Martin Carlesund: Good morning. Yes, a good question. We don't come to fight the growth in different markets, but I will try to give you something or say like, of course we're coming into 2022. We are in a ramp-up expansion phase in all states in U.S. And that ramp-up is, of course, being challenged with COVID and it's been a little bit back and forth for us. And we look forward to coming out of COVID and being able to expand faster, simple as that, and then take a larger part of the market.  So we look forward to that. But on top of that, also in the licensing and regulation of new games and expanding the portfolio and in my dream scenario, of course, we will have the full product suite tomorrow -- it won't be tomorrow but as soon as possible for all American players and that will also enhance the player experience and also, of course, the market share. When it comes to the computation of -- when it comes to Canada, we haven't -- it's been hard and we have stated that we look forward now to the commercial opening of the market in -- actually 2nd of April and look forward to a good growth on that market as of April and onwards.
Edward Young: Okay, thanks. My second question. You mentioned yesterday that 10% of your customers have moved onto the One Stop Shop with I think 30% of traffic expected by the end of Q1. Can you just talk broadly about what you've seen from the first movers? Obviously, they have access to more of your content. Are they on average taking more of your content onto OSS, and is that how we should think about improvements in cross-sell and RNG growth through the year? Is it partly related you think to uptake of OSS?
Martin Carlesund: I think that you should think of OSS in a long time perspective. As we talked about being the leader in online casino, seeing that flawless integration, all customers [Indiscernible] would drop the product, Boom, it's possible, it's compliant, it comes out in regulated markets and others at -- in one strike or one blow. It will make the life of the operator simpler. They will have our low bidder will -- they will connect in one place. I don't expect immediate or -- effects of that. Of course, when we roll out the product into new customers and they get more, it -- you will see that effect. But I don't see that as a bump up, it's more a gradual effect over the time to come.
Edward Young: Okay, thanks.
Martin Carlesund: If someone [Indiscernible].
Edward Young: My final one is on costs. It looks like the big move on costs quarter-on-quarter, was other operating costs up to €38 million from the low 30s. I know that's a lumpy line, but could you talk a little bit about what's driven the quarter-on-quarter rise there? Is that the new normal for other operating costs or we should expect that to revert a little bit more towards a more normalized level going forward? Because if I look at your staff cost, for instance, it looks like actually your like-for-like staff costs have continued to be deflationary, so I'm just trying to think about the margin outlook, I guess?
Martin Carlesund: I will start and I will hand over to Jacob. But what I tried to emphasize on the report and also early [Indiscernible] I mean, we'd doubled the company in 18 months. We employed 6,700 people on top of 6,700 in 18 months. And that drive costs in a lot of different areas. You have to stock up, you have to see through, you have to make it work and it's a heavy lifting to do that. And I think that which I also tried to state is that we maintain on having some drastic margin of 69% in the quarter and for the year, essentially, is a great achievement. And I'm very happy with that. Now I'll hand over for the more detail and other expenses.
Jacob Kaplan: Yes. I mean, I think you said it also. That it is a bit lumpy, the other operating expenses. So it tend to move a little bit. As in this quarter, I mean, there's one component in that that's royalties, that moves very much with revenue. When we have more volume, that also drives costs there. Then there's all types of things that kind of [Indiscernible] with the indirect related to the building activity. Freight costs are up, consumable equipment is up, so there's a number of items in there that move. As to going forward, I don't see it go -- as the company grows, it's hasn't -- it hasn't gone down that many quarters. But we won't -- we will probably won't see the same increases this quarter. So it is a bit lumpy, but over time will increase as we grow the operation.
Edward Young: Okay, thanks very much.
Martin Carlesund: Thank you.
Operator: Thank you. Our next question comes from the line of Oscar Rönnkvist of ABG. Please go ahead. Your line is open.
Oscar Rönnkvist: Good morning, Martin and Jacob. Just few one --
Martin Carlesund: Good morning.
Oscar Rönnkvist: The first one regarding your margin guidance, which is above your Q4 margin, do you expect a slowdown in OpEx growth from previous levels if we take in relative terms or is all any increase in top-line growth according to your forecasts?
Martin Carlesund: It's an increase in top-line. Of course, OPEX will follow, but it's primarily driven of increase in top-line.
Oscar Rönnkvist: Alright. So relative to previous, like year-over-year growth in costs, do you expect that their relative percentage term to decrease relative to what it was in the previous years.
Martin Carlesund: If you calculate the incremental margin, it's always been a bit higher. So over time, they will assimilate mathematically, if you will put it like that if that makes sense.
Oscar Rönnkvist: Yeah. All right. Next one on the recent signing with FanDuel, you've signed an exclusive Live Casino deal. Do you expect this trend will continue, and do you also expect the Play Tick customers with like equal deals to open up for multiple suppliers?
Martin Carlesund: I think that over time exclusivity will not be there and right now it's more like an option where the operators want to have the best products and they need to get a portion, they need to give something and now we end up in an agreement to one or the other. Competition is good. There will be competition in the U.S. We need to be best, we need to move forward every day, and we need to release some best products every year for the end users. I don't see any change in that.
Oscar Rönnkvist: All right. Understood. Next one, just looking at the growth opportunities in Asia, is it rather significant to grab a market share or is it like more of a market online trend that will fill your growth in Asia? And additionally, if you could just, do you have a ballpark estimate of your current market share in Asia or maybe just discuss sort of your projected market position there right now?
Martin Carlesund: I would say that we're still small in Asia. Asia is a huge market, the first. And then I think that what builds Evolution is preference, trustworthiness in their end-users and entertainment of their end-users. So that is what makes our traction, and that's why Asian or North American or European players play. And then there's simply many more players in Asia than in Europe because of the larger population. So that's why it's driven. In total market share, it's very hard to estimate, as it's hard to estimate also Europe since we are the ones that disclose our figures but it's hard to get the others. In Europe, we have a good market share, and in Asia I still think we're small.
Oscar Rönnkvist: All right. Got it. Just a final one on the regulatory allegations here. So I know that you have communicated that you are talking like daily -- on a daily basis with the New Jersey Gaming Board, but are you worried that the New Jersey Gaming Board or any other regulatory commission could force you to block other markets than the sanctioned ones or force you to cease operations with certain customers such as, I don't know, stake.com, for example?
Martin Carlesund: We're very comfortable with our business model. We only, as you all know, sell our content to licensed operators licensed by state or government or countries so we're comfortable with that. We've been operative in U.S. since 2018 in 1,500 bases and we are not worried about our position in total. But of course you should never be arrogant. Everything that happens, you need to address and we want to be best in everything every day. And now we're, of course, looking into these and we find things that we can enhance also in this area. And as we stated, as we do that and we find those things and tune those and we do those things that make it better, we haven't seen any of the -- it's been an insignificant effect on revenue.
Oscar Rönnkvist: Okay. Thank you. That was all for me.
Martin Carlesund: Thank you very much.
Jacob Kaplan: Thanks, Oscar.
Operator: Our next question comes from the line of Rikard Engberg of Erik Penser Bank. Please go ahead, your line is open.
Rikard Engberg: Morning, guys.
Martin Carlesund: Morning.
Rikard Engberg: Can you please elaborate a bit on the bet spot development? I know it's a quite high growth Q-on-Q. Is that related to higher capacity or is it related to increased activity in the networks.
Martin Carlesund: The bet spot has increased activity. And you saw my comments on Crazy Time, and it's one of the strongest games. But in total, activity in our forecast increase.
Rikard Engberg: Okay, good. So it's not that is capacity that has limited you in the Q1 to Q3 during 2021.
Martin Carlesund: No, I wouldn't say so. But we are under supplying, we need more capacity. We could expand. It's hard to recruit 6,700 people, as I said. We could expand faster, but we're on it. Believe me, we're on it.
Rikard Engberg: Okay. Good. Also, a long question. Yesterday, you talked about the One Stop Shop and integrated business systems. Is that a key to achieve a higher growth within the RNG segment?
Martin Carlesund: Good questions. I would say that the boldness and free spin situation in R&D is less important now than 10 years ago because of regulatory aspects and limitations in that. And I would assume that development continues, so it's not -- it's still important, but it -- it is less important than it was in the past.
Rikard Engberg: Okay. Thanks. That was all for me.
Operator: Thank you. Next question comes from the line of Kiranjot Grewal of Bank of America, please go ahead your line is open. Seems the question has already been answered. I'll read you the next question. The next question comes from the line of Oscar Erixon of Carnegie. Please go ahead. Your line is open
Oscar Erixon: Thank you. Good morning, guys.
Martin Carlesund: Good morning.
Oscar Erixon: For me, especially on the product pipeline here for 2022, great presentation yesterday. First on the Live side, you've seen [Indiscernible] Evolution -branded Live Casino games yesterday. How many do you plan for the full year? What [Indiscernible] are you the most excited about in terms of innovation and revenue potential, Martin, it would be interesting there. Thank you.
Martin Carlesund: We will release more games and there's more to come. I'm very excited over all and for different reasons for some of the games that we release. It's very hard commit to pick. A new Big Baller monopoly game, fantastic. It's such a beautiful studio. It's such an amazing game. It triggers some parts while we are on our way into a new segment. Fantastic game. The lightning extreme -- Extreme Lightning is an amazing game. It will continue our route with the Lightning games and make it -- take it to the next level. It will be in my word, a blockbuster. And then if you look at the Gold, the one that you saw on the first picture.  I mean, it's an amazing game, it's a stake game, it's going to be great. There is a lot of things coming in the Live environment. And I very much look forward to it. And it's more -- if we did a little bit more Asian flavor games last year. It's also about good people, [Indiscernible], but it's more towards North American and European market this year.
Oscar Erixon: Excellent. Thank you. And on the [Indiscernible] side, a huge number of announcements yesterday including perhaps, especially superstores, little bit hard to put into context based on the quantity or releases and the impact. Do you think the pipeline in itself is vastly superior to that in 2021? Would you consider the OSS [Indiscernible] that's probably more important to get growth going in the store segment?
Martin Carlesund: You've put one thing against other and I would say, yes, the product road map, as I stated, 2022 was the best one ever. That's just it and that goes for each part of the road map as well. But if I'm thrilled about the OSS, it's like a strategic tactic piece. It's the right thing, seamless, flawless, reaching out, seeing an integration, making it easy, seeing to that everything works smooth, moving us to what is Amazon of gaming, where you can get all the content at a one single spot. Having that in connection with a new [Indiscernible] phenomenal. And then on top of that, to release the games, and then it's more easy to release games.  But we are on our way, don't forget that. It's not -- usually companies maybe talk about this for years. As a vision, we talk about it and we have already, we'd say in a couple of weeks, we'll see how it plans out with those, but we're not dumb. So there's a -- it's a long road, but the exciting games, new [Indiscernible] us.
Oscar Erixon: Looks good, Martin, thank you. And then on North America growing by 6%-7% sequentially [Indiscernible]. And I have the market growing up maybe 14%-15% sequentially in U.S. in the iGaming market. So is the lower growth for, I think importantly [Indiscernible] a little bit, but is lower growth primarily due to the Ontario licensing process or are you also seeing sort of a key year impact of not having the full licensing offering in the U.S. yet.
Jacob Kaplan: I think Martin you answered it almost a little bit early on the quarter. Both of those things affect. We are expanding as fast as we can in the studios there. But I think it's fair to say that we're currently a bit underserving the market when it comes to capacity. And yes, the Ontario is a little bit in the quarter as well. So yes on both your suggestions.
Oscar Erixon: Understood. And then just the final question from me, I guess this is for you, Jacob. Again, a little bit nitty -gritty here. But could you shed the light on the organic or constant currency growth of Live Casino here in Q4 given the local metrics movement? Thank you.
Jacob Kaplan: [Indiscernible] There's no direct effect in what the live -- all the live revenue this programme. Then you could say, of course, a bit different. Operators will have players play in different currencies, but we will invoice in mainly in euros. So there's no direct FX effect to us. But of course, indirectly there might be some. But we don't follow that.
Oscar Erixon: Got it. Thank you very much.
Martin Carlesund: Thank you.
Operator: Thank you. And we've got Kiranjot Grewal of Bank of America back on the line. Please go ahead. Your line is open.
Kiranjot Grewal: Hey, morning guys. Sorry about --
Martin Carlesund: Morning.
Jacob Kaplan: Morning.
Kiranjot Grewal: Just a couple of questions from me. You guys said that you had over 1000 tables that you ended the year with. Could you maybe speak to how they are phased out, were they sort of brought out more towards the end of the year. Just trying to see if there's any impact on margins from that. Also, as you roll out some of these non - scalable tables such as Blackjack, do you think they could weight on your margins. Thank you.
Martin Carlesund: We're expanding faster in the end of the year than in the beginning. The last quarter has been very hectic. So that's when it comes to the thousand tables and above. So it's a little bit caveat towards the end of the year margin. I mean, we've gotten now on the 6971, and we're happy with that. And that is including effects of an expansion in the products with both when it comes to unscalable and scalable games. Does that make sense?
Kiranjot Grewal: Alright. Thank you.
Martin Carlesund: Thank you.
Operator: Thank you. [Operator Instructions]. Okay. Actually, bear with me just one second [Indiscernible] that.
Martin Carlesund: Were there any more questions? Okay, were there any additional questions?
Operator: Sorry. Apologies. The question literally came in just as I was saying there's no further questions. And it was from a late call, as such I need to register them. From the line of Simon Davies of Deutsche Bank. Please go ahead. Your line is open.
Simon Davies: Okay. Yes, morning. Just two quick ones from me. Firstly, we're hearing increasing talk of wage inflation, particularly in the tech space. I was just wondering whether you're seeing any increased pressures in terms of your ability to recruit, particularly in North America. And have you seen any signs of rise in staff churn rates. And my second question just very quickly. Is there any chance you can give some indication in terms of the thousand tables that you had at the year-end, how many of those are in North America, and where do you see that number going to.
Martin Carlesund: Also two good questions. I mean, there is a lot of talks about inflation worldwide. And of course, depending on the pandemic and the countries print money or stimulate in other ways. We see inflation increase. How that will affect, we don't really see it. We haven't had an look. We don't see the show an increasing the cause of that. However, of course, recruiting at the pace we are -- it's also costing money when it comes to shoring on others. But nothing out of inflation yet. We have to get back to that if that happens, but that's same for, I guess, all of the world, whichever business you have. When it comes to the split of the tables to the North America, I really understand your question. We don't disclose that.  Maybe we come with a suggestion with that later but we are in rapid expansion and we could say that the dealers have been there for a while, but it's still expanding. I expect it to almost double and the same goes for Pennsylvania and Michigan. So expansion is happening but we don't comment on the exact number of tables.
Simon Davies: Thanks.
Operator: Thank you. That was the final question on the phone for this time, so I'll hand back to our speakers for the closing comments.
Martin Carlesund: Okay. Thank you, everyone. It was a pleasure to have you here today and discuss, something great. Another great quarter as I see it from Evolution. And above all, we have a fantastic product line-up for '22. Thank you for listening, and speak to you again in a couple of months.